John O'Reilly: Good morning, everyone. A little video there of the Vic, Victoria Casino, Vic as we know it, now complete with 80 gaming machines and performing very strongly too. It's a fabulous casino. Thank you for joining Richard Harris and me this morning for the Rank Group interim results for the half year from July to the end of December 2025. Thanks to those of you who are here with us. Great to see you. And thanks also to those of you who are joining us online. Now very sadly, this is my last set of results after what has been a hugely enjoyable best part of 8 years as CEO of the Rank Group. Some of you already know I'm retiring today. I'm super sad to be leaving as this is a very special business with some very special people and I shall miss it enormously. And I would like to thank all my colleagues within the group for their talent and for the commitment that they have in delivering huge amounts of fun and excitement to Rank's customers. I'd also like to thank our shareholders for their personal support to me over the past 8 years. However, while sad to leave, I'm absolutely delighted to be passing the baton to Richard, who is doing and will continue to do a superb job on behalf of the Rank Group, its colleagues, its shareholders and of course, its customers. So for today, I've just carved out a very small speaking part for me, a quick overview of half 1 performance, and then I will fully hand over to Richard, who will take you through the detailed first half financial numbers and talk some of the key trends, the strategic challenges and the opportunities ahead. And notably, of course, how we're still on track to get the group to an operating profit of GBP 100 million and beyond. Right to business, and we've had another good half in terms of our commercial and financial performance with revenue and profit growth across all of our businesses. So here are the headlines. Like-for-like net gaming revenue was up 6% at GBP 419.8 million. Underlying like-for-like operating profit rose 15% to GBP 40.6 million. The group's underlying operating profit margin was 9.7% and that was up from 8.9% in half 1 last year. Our return on capital employed continues to progress, up 2.6 percentage points, to 15.9%. At a group level, our employee engagement score, which is -- has always been very important to us, has risen again and is now at 8.2, that's out of 10, which reflects the level of energy and drive within the Rank business. Within the Grosvenor Casino business, average weekly net gaming revenue was up 6% to GBP 7.8 million per week, which has been supported by the rollout of 850 additional gaming machines following the legislative change last summer, a rollout that commenced in late August and completed in December. In the Mecca Bingo business, net gaming revenue was up 4%. And in Enracha in Spain, net gaming revenue was up 6%. Digital revenue grew 8% with Grosvenor growing 17% and Mecca Bingo was up plus 5%. And the Yo business in Spain was back into growth for the half as we had expected. And in terms of current performance, we've had a very strong Christmas and New Year trading period and that has continued through January with trading very much in line with our expectations. So another good half year period for the group, reflecting the strategy we have in place, the priorities we've set and the quality of execution by our talented colleagues. And on the strength of the performance and the confidence in the business, notwithstanding the very significant increase in digital gaming taxes we faced from April, the Board has recommended an interim dividend per share of GBP 0.01. Richard, over to you.
Richard Harris: Good morning, everyone. And for one final time, thank you, John. I'll spend a bit of time taking you through the key drivers of performance as well as updating on that plan to deliver at least GBP 100 million operating profit in the medium term. So starting with the operating profit improvement in the half. Like-for-like revenue growth of 6% contributes GBP 14.5 million of additional profit after deducting all direct costs. That's partially offset by higher employment costs of GBP 6 million, which have grown 4% on the prior year due to the higher national minimum wage and the impact of higher national insurance contributions. Over the full year, employment costs are expected to increase by a similar percentage. Depreciation costs were higher in the year due to the capital investments we've been making in the business, and the higher statutory levy also impacted performance in the half. However, overall operating profit is up 15% on a like-for-like position from last year. Net free cash flow in the period was GBP 3.8 million. And within this, we've continued to make targeted investments with strong expected paybacks. Capital expenditure was GBP 27.6 million as a result. For the full year, we've adjusted the CapEx guidance to be in the range of GBP 50 million to GBP 55 million. And the change from the previous expectation of GBP 60 million is just a timing point with the reduction being deferred into next year. There was a working capital outflow of GBP 5 million in the period, which was in line with expectations and you can expect working capital to be broadly neutral for the full year. Cash flows in relation to separately disclosed items were GBP 5.5 million. So that includes income and outgoings associated with closed venues, but also the GBP 6.5 million impact of the Spanish payment fraud. It's worth dwelling on that for a moment because it's not something we expect to happen and we have taken the issue extremely seriously. As soon as we became aware of the matter, we put in place additional preventative measures with immediate effect to ensure no further risk to the business. The investigation has concluded and we've made some further improvements to the group's payment controls as a result. Returning to the slide. In the table on the right-hand side, you can see how the net free cash flow has converted through into closing net cash of GBP 39.4 million. There's deferred consideration of GBP 1 million received from the business disposal that concluded in December 2024. Some shares have been bought for the outstanding LTIP schemes. And last year's final dividend of GBP 9.1 million was paid in the period. Including lease liabilities, net debt was GBP 165 million. As a reminder, in the second half of last year, we extended the leases on a number of key strategic properties in Grosvenor that will come into the end of their lease term and that materially increased our lease liabilities. As reported in today's announcements, we've also capitalized gaming machine leases onto the balance sheet in Mecca. Lease payments in the cash flow increased to GBP 23.4 million for the same reason. So moving into the business unit detail for last year -- the first half, I should say. Grosvenor venues grew by 6%, driven by visit growth. Following growth of 8% in Q1, revenue in Q2 was up 4%, impacted by lower consumer confidence in the run-up to and immediately after the November budget. Subsequently, trading over Christmas and the New Year period was strong. Gaming machines were the fastest-growing product vertical with revenues up 11% due to the early benefit of the new machine rollout. I'll go into more detail on that in a moment. Table gaming revenues grew 2% and electronic gaming was up 6%. London performance has particularly benefited from the refurb of the Vic, where total revenues were up 13% on the same period 2 years ago. So that's prior to any refurb disruption. And over that same 2-year period, gaming machine revenues are up 26% with additional machines and gearing in mid-November. So I'm very pleased with how that's performing. Employment costs were the main headwind for Grosvenor, growing GBP 3.8 million in the period. And as a result, like-for-like operating profit was up marginally at GBP 20.9 million. Colleague engagement scores in Grosvenor remain excellent as we continue to reap the benefits of our cultural change program, "From Like to Love." At the Capital Markets event we held in October, we laid out our plans to deliver average weekly NGR of GBP 9.5 million and to improve operating profit to over 13.5%, an increase of at least 500 basis points. A critical part of that plan is enabled by the casino reforms, where we can increase the number of gaming machines from 20 per license to 80 per property. 850 additional machines were rolled out before Christmas, an increase of around 65%. That's in line with our planned timetable. In casinos where we've only been able to increase machine numbers from between 20 to between 30 and 40, revenue growth has generally been very strong with examples of casinos in which the average revenue per machine has increased with additional supply. Where we've significantly increased the available machines from, say, 20 to 80, the revenue per incremental machine has inevitably been lower and we're working to increase the customer awareness and stimulate demand. Demand levels are gradually building as customers become aware of the better availability and choice of both machines and content. And just as a little reminder, here's the maturity curve that we expect the casino estate to go through. We're currently early in the launch phase and in the venues that have received additional machines, we've been able to satisfy the unmet demand as expected. Considerable focus has now been applied to optimize machine mix, product layout and service levels at an individual casino level. In H2, we'll also launch a new gaming machine rewards scheme that enables customers to earn and redeem rewards directly onto the gaming machines themselves. Grosvenor now has 6 machine suppliers, an increase from the historic position of 2 primary suppliers, providing a much broader choice for customers. And further suppliers and game packs are being trialed in the second half of the year. The speed, focus and direction of the next phase in machine rollout will be shaped by customer and performance data. Player behavior, player preferences and demand curves will inform investment into our estate, ensuring we continue to deliver strong return on investment. The second component of the land-based reforms is the ability to offer sports betting in casinos. We're trialing a full sports betting proposition in Luton and Leicester as well as a reduced offering in Reading South. Learnings from the trials will determine the options for wider estate rollout. And over time, sports betting has the opportunity to broaden the appeal of casinos. We're excited to understand how our customers respond to these trials. In table gaming, we continue to add more innovative side bets and progressive jackpots into our live table proposition. We've completed the rollout of our table management system across the whole estate and that uses AI-led real-time recommendations and data to optimize table opening and pricing across the estate. There's much more performance upside to come from that. The ongoing refinement of our approach to safer gambling revolves around the better use of data and technology, improved processes for identifying and addressing potentially harmful play, developing the skill sets of our colleagues and supporting colleagues in improving their interactions with customers. In H2, we're trialing facial recognition technology in a number of our venues to more quickly identify customers who may present a higher risk. Turning now to digital. The first half of the year saw further progress with like-for-like revenues up 8%. Within this, the U.K. business was up 9%, driven by strong growth in average revenue per user, reflecting the appeal of our products and our service to the regular customers that we serve in our business. Improvements in data science, enhanced customer journeys, efficient and effective customer incentives, all played a part in driving growth. And those levers will continue to be a focus as we move into a higher tax environment. Grosvenor revenue was particularly strong at 17% and Mecca grew by 5%. Again, revenue growth was slower in Q2 as we faced into tougher comparatives and the lower consumer confidence. However, in absolute terms, we continue to make further progress. Performance in the Spanish digital business also improved with growth of 4% in the second quarter, contributing to growth of 1% for the half year. Improvements in customer proposition, including performance marketing, launch of new apps for Yo and enhanced rewards programs have all contributed to the turnaround after a flat year in FY '25. We successfully became the first licensed bingo operator in Portugal with a soft launch in November. And the important next step is to build liquidity as part of the full customer launch at the end of February. And we're really excited about the opportunity that that presents. At a total level, operating profit for the digital business grew 12% to GBP 17.8 million and that's despite the impact of a higher statutory levy and maximum slot staking limits. As we reported at the time of the November budget, the impact of 40% RGD on the bottom line of the U.K. digital business is GBP 46 million before mitigating actions. Since then, we've already taken a significant cut to marketing spend that's further away from the customer transaction, including canceling above-the-line spend and TV sponsorship deals. We've also started negotiations with suppliers with the main benefits expected by the beginning of April and there are further efficiency improvements also expected by that date. So the majority of the heavy lifting in terms of mitigating actions has been done. However, it is reasonable to expect that the U.K. digital gaming industry will change significantly with higher taxation. We're already seeing operators planning to exit the market and it's inevitable that there will be reduced competition in the license market over time. In a world of higher taxation and lower competition, we'll take an agile approach to promotional investment, performance marketing and customer incentives. Our base plan does not see us reducing spend in this area as they are critical levers to driving long-term growth, albeit from a new lower profit base. We believe that going forward, the strength of our casino and bingo brands, the billboard effect of our venues and the attractiveness of our cross-channel experience will be key to driving growth. They will enable our digital business to rebuild profitability over the coming years as the market stabilizes with less competition and lower marketing investment. With that in mind, our focus on improving the customer proposition remains steadfast. In the second half of the year, we'll deliver a unified membership scheme to Mecca customers across venues and online. It will allow us to deliver an improved and more personalized experience across channels. The live casino experience also improved in the second half of the year with new live slot streaming products, improved venue-led casino content and again, enhanced customer journeys. The new bingo platform goes live in Spain this quarter, removing the capacity constraints we faced over the last 12 months or so. Moving to land-based bingo. Revenue growth in Mecca was 4% in the half, all driven by an increase in spend per head. Main stage bingo revenues were down 1% off the back of investments we've made in additional prize money, which we believe is key for the long-term health of the business. We introduced 600 new Mecca Max tablets across the estate as customers increasingly embrace the appeal of electronic bingo via tablet-based play. 59% of customer visits were played on electronic terminals, with those Max customers now accounting for 75% of main stage bingo revenue. Gaming machine revenue in Mecca grew by 9% and now accounts for 43% of our NGR. We're committed to providing the best gaming machine proposition in the industry and completed 5 gaming machine area upgrades in the half. We've also continued to focus on modernizing our external profiles with 5 new signage schemes. As with Grosvenor, the largest cost in Mecca is employment costs, which were up 2.9% due to the impact of national living wage, employees national insurance, but partially offset by cost efficiencies. As a result, like-for-like operating profit was up GBP 2.7 million from GBP 0.7 million last year. And in Spain, there was further revenue and profit growth from our estate of 9 well-invested flagship Enracha venues. Revenue was up 6% on a constant currency basis. And similar to Mecca, spend per head was a key driver of revenue growth. The ongoing investments in product, service and environment has seen gaming machine revenues in Enracha grow 10% and this included the initial benefit of an upgrade to the gaming machine area in Cordoba. In the first half, we also completed the refurbishment of our Sabadell venue in Catalonia and that's opened this week to customers. Underlying like-for-like operating profit in Enracha grew 5% to GBP 5.9 million. The abolition of the current 10% bingo duty effective from April this year provides a much more sustainable platform for Mecca's future, delivering an annualized benefit of GBP 6.5 million. This means the target of delivering double digit operating profit is now expected to occur next financial year, alongside much improved cash generation. Unified membership will materially improve the data quality we have in our Mecca venues. It allows customers to use their app as their membership card and receive personalized offers and rewards, something that's not been possible so far. We'll continue the rollout of signage schemes and gaming machine area upgrades. These low-cost investments are delivering returns in under 18 months and will help to further improve Mecca profitability. Further legislative reforms are on the horizon for Mecca and the future looking much brighter than it has since before the pandemic. On Enracha, we're trialing an immersive bingo experience called Bingo Boom in Seville, targeting a younger demographic in an enlarged venue. This is just one great example of the propositional improvements we're trialing in Enracha. So bringing all of that together, the group is well placed for further revenue growth in the second half of the year. We had a strong Christmas and New Year period. Performance in January has been in line with our expectations and we have a strong pipeline of initiatives to drive performance. In Grosvenor, the early results from the launch of the additional gaming machines reaffirm our confidence in the medium-term opportunity. It's great to be up and running. On digital, we have a clear plan to deliver average weekly NGR -- sorry, in Grosvenor, we have a clear plan to deliver average weekly NGR of GBP 9.5 million and 500 basis points margin improvement in the medium term. On digital, we have taken the financially responsible actions needed to significantly reduce the impact of RGD at 40%. The plan is in place to reset the business, but without impacting the attractiveness of our customer offering. We've got clear strengths that allow us to continue growing revenues in what is seismic shift for the industry. And as I mentioned, the abolition of bingo duty will see us deliver the target of double digit operating profit in Mecca next year. So the group retains a clear path towards delivering its target of at least GBP 100 million annual operating profit in the medium term. And as we continue to execute that plan, we'll also focus on the strategy required to grow shareholder returns beyond the medium-term ambition. So that concludes the formal part of the presentation. But just before I move into Q&A, it would be remiss of me not to take this opportunity to register my own thanks to John as he prepares to retire from his role as CEO of Rank. He's suitably embarrassed, I hope. He's been great to work with. I've learned plenty from him and he leaves us, as you've hopefully heard today, with a really strong foundation on which to build. I personally owe him a great deal. I know that Rank owes him a great deal. But perhaps most of all, the entire U.K. gambling industry owes him a debt of gratitude because as you all know, he's been a tireless advocate for the industry that he loves. So thank you, John. And now, we'll move to Q&A.
Richard Harris: Please, can I ask that before you ask your question -- one hand has gone up already -- you give your name and your company? We'll start with questions in the room and I'm sure there will be some questions online, so we'll take those as well.
Ivor Jones: Ivor Jones from Peel Hunt. You talked, Richard, about adding reward schemes into the gaming machine offering Grosvenor. In terms of profit -- in terms of revenue consequences, is that going to be marginal? Or is it like a big dip in terms of marketing spend, which we should watch out for and then you'll see recovery? How will it work?
Richard Harris: I'm glad you're asking questions one at a time, Ivor, because there's only me to answer them today. So thank you for that. So is it -- are you going to see a big increase in marketing spend? No. But what this is, is a tailoring of approach to each individual venue based on their competitive environment to other gambling venues they've got around them. And it's trying to give us the best possible rewards incentives based on the customers that we want to attract to our venues going forward as well as the customers that come to us today. So is it a big marketing spend? No, it's not. But is it an enhancement of the offer as we gradually build revenues in game machines? Absolutely.
Ivor Jones: On digital, in Grosvenor digital, why was -- I probably asked this before, but why again was Grosvenor digital revenue growth so strong? Was there something in the extra marketing cost push that drove that? What was driving it?
Richard Harris: Yes. So Grosvenor at 17% was particularly pleasing because the second half compared to last year was particularly tough as we had a higher win margin at that point in time. So to grow 17% on that, we were delighted with that. It's a number of factors, I think. So we've been making good consistent improvements to the customer proposition in Grosvenor for quite some time. So roll back 12 months or so ago, we were launching new Grosvenor apps. So the performance from that has continued to benefit results. As a consequence of RGD, we've definitely had a shift from some of our smaller brands aren't cross-channel brands, so everything other than Grosvenor and Mecca in the U.K. We've diverted some of the marketing spend towards Grosvenor because we're seeing greater returns there and we expect to see greater returns in the future. So undoubtedly, that's played a contributing factor as well.
Ivor Jones: You didn't mention cross-sell from the venues. Is that because it's not important for driving Grosvenor digital?
Richard Harris: It absolutely is. I'd say in terms of the progress we've made on that in the last 12 months that has contributed directly to performance, not so much at the moment. There's some additional stuff on there around venues content that will improve the offer. But I wouldn't point it out as being a single contributing factor to performance in the first half, but it is a much greater contributory factor to our growth in the future.
Ivor Jones: And can you carry on and talk about the proprietary brands? What's the future for them in an RGD, 40% RGD world?
Richard Harris: Yes. So with Grosvenor and Mecca, the opportunity we still think to grow the business is significant because of that billboard effect, the venues experience, the cross-channel experience. When you piece all that together, Grosvenor and Mecca have got a very strong future. And we'll continue to invest in customer incentives, free bets, et cetera, to make sure that that offer is as attractive as possible as it can be. For the smaller brands, we're working through exactly what they will look like in RGD world of 40%. But the role they play is likely to be different. We're likely to invest less in marketing because the returns aren't anywhere near as great. Tax has gone up by almost double. So the returns are going to be less, but we still think they'll play a role from a casino and bingo perspective in supporting the Grosvenor and Mecca brands. Are they going to be big drivers of growth? Probably not.
Ivor Jones: Let me pass the microphone, maybe come back at the end if there's time.
Richard Harris: Fighting over who gets the next question. There we go.
Richard Stuber: It's Richard Stuber from Deutsche Bank. Just a couple for me, please. First of all, I guess, given the increase in RGD, do you feel that some of your venues may now be slightly more marginal in terms of the ability to cross-sell into a -- sort of a valuable customer? I guess from the Mecca side, less so because you've got the abolition of bingo. But in terms of any growth in casinos, are there some which are slightly more marginal, or are you rightsized? And the second question is, I guess, also on the back of RGD, does -- because of the returns you get from U.K. customers, does that maybe sort of change your view in terms of where the incremental spend may go? So in other words, would you invest maybe more in Spain now or other parts of Europe versus the U.K.?
Richard Harris: So taking the first one, actually, I think probably the opposite. So I think the importance of cross-channel in a 40% RGD world increases because the lowest cost of acquisition that you'll find is from customers that are playing with you in venues. So the role and the relationship between the venues and the digital proposition, they've been a big focus for us in the recent past. They'll continue to be a big focus for us going forward. So I don't think RGD at 40% changes the dynamics of a venue in the Grosvenor estate. The point about switching returns, I'll be a little bit careful about saying this because historically, we haven't capped out what the marketing spend is with a fixed budget in either of our Spanish business or our U.K. business. What we're trying to do is drive performance and maximize returns. If we're getting very strong returns, there is more money to be spent on marketing. So when I talked about customer incentives, free bets, performance marketing earlier and how that will be critical going forward, could there be a chance that we increase investment there because that's the right thing to do to drive growth and drive returns? Absolutely. So I don't see it as a decision between U.K. and Spain -- or U.K., Spain and Portugal going forward. But the teams have got the responsibility to maximize the returns that we're getting from any investment spend.
David Brohan: David Brohan from Goodbody. Just 2 questions from me. Firstly, in light of the RGD changes in the U.K., would you potentially consider M&A to scale up your digital presence there? And then secondly, just on the GBP 100 million-plus operating profit target, could you help us out a bit in terms of the time line and the building blocks there, again, given the changes to RGD?
Richard Harris: Yes. So taking the first one on M&A, David. So I think it's inevitable there will be operators in the kind of long tail that leave the market. From our perspective, the kind of primary focus, we've done the heavy lifting around mitigating actions that we want to take at this point in time. We've got a clear plan to delivering a profitable business in U.K. digital going forward and also a clear plan that allows us to grow going forward. So it's not just about surviving and being viable. It's about having a healthy, strong business that will be able to grow in the future. So right now, I wouldn't want to kind of commit either way to M&A. It's kind of a bit early to tell really. Nobody really knows how this is going to play out. We've got other examples around the world of how things change where tax rate goes up, increased consolidation and so on. But I think from our perspective, right now, we're focused on delivering the best possible results we can do in our brands. And from there, we'll always consider what the next move are -- what the next move is strategically. In terms of the GBP 100 million operating profit, so as you know, the kind of key levers within that, the additional gaming machine opportunity, that is a key part of getting Grosvenor to GBP 9.5 million per week, but also a key part in improving the operating margin by at least 500 basis points. So that is #1 priority within the business. We're pleased with how that's gone so far. But as you've seen from the growth curve, there's a long way to go and we need to gradually work hard to drive that performance over a period of time. It won't be an overnight thing. It's going to come over a period of time. The second part is, as you kind of rightly pointed out, RGD -- having a profitable business that you can grow going forward, that's going to be critical. But also, I think the abolition of bingo duty gives us some options around Mecca. So that's going to materially improve in terms of profitability. Some of the things that might not have been good investment choices in the past in Mecca might now become good investment choices. I don't think it's going to radically change the amount of money we're making -- change the amount of money we invest into Mecca, but how we think about that business, I think, does change. And we'll continue to kind of drive the Enracha business because it's a great little business and there's still further room for improvement. So from a -- realistically, you can't take a GBP 46 million unmitigated hit to the bottom line without that changing the shape of your plan going forward. So inevitably, there's probably a 12-month lag from where we were prior to RGD at 40%. But internally, super focused on that GBP 100 million and beyond, I'm very confident we can get there.
Unknown Analyst: It's [ Rebecca Chacha ] from Investec. Just one question for you, Richard. You mentioned before in your speech that you believe that the market after the RGD changed, the licensed market will be less competitive. What do you think about the potential evolution of the unlicensed market? And what do you think that are the actions that the government will take or...
Richard Harris: Yes. So in the run-up to the budget, I think we were relatively clear that we thought the risk around increasing online taxes was that there would be a shift to the unregulated market. And that still feels like that thesis holds. What we do know is that the government have kind of channeled some money to the Gambling Commission to increase enforcement on unlicensed operators. But they need every penny of that investment because it is a growing part of the market and an area that needs increasing focus. So I talked about the license market, particularly in the speech, but we are also very cognizant of we're not just competing with the license market. So free bets, customer incentives, all of that needs to be targeted to drive the best possible performance in our business. Of course, yes, we've got some questions online as well, but we'll finish off all those in the room first.
Ivor Jones: Very good. Ivor Jones, Peel Hunt. Could you just remind us of your plans for the cost of the launch in -- the hard launch in Portugal next month?
Richard Harris: Yes. So there is relatively significant investment -- in the context of our international digital business, relatively significant investment upfront in this financial year, particularly in order to kind of get -- build that liquidity and grow that business from a standing start. As I mentioned earlier, we did the soft launch in November and the number of customers that we have coming back to our site, without doing any marketing, is encouraging, but it's still very, very early days. So we've got to build liquidity. And in order to build liquidity, that really involves marketing spend. So in the current financial year, based on the level of marketing spend that we intend to put behind that and the level of revenues that we expect, I would expect that Portuguese business to be loss-making this year, but to the tune of small single digit millions. And that's captured in -- I think that's pretty much captured in all analyst forecasts. So that shouldn't be a surprise to people, I don't think.
Ivor Jones: Okay. In relation to Mecca venues, you mentioned 2 things, reasonably good growth in machine gaming revenue and the rollout of additional tablets. Is the machine gaming revenue increase on physical devices, or was it partly driven by virtual machines on the tablets? And does that lead you to invest in more tablets because it drives up the machine revenue growth?
Richard Harris: So the vast majority of machine revenue income comes from physical cabinets, not on the tablets. So that's where all the growth is coming from. And I would pin that to the fact that we have invested heavily in the proposition, whether it be upgrading machines -- upgrading machine areas, the audiovisual, the whole lot is much enhanced. So I put that down to what's driving the revenue growth in gaming machines. On the tablets, customers that play on tablets spend more money with us. They have more fun. They're more regular players. So will we continue to invest in tablets, making sure they're of the best quality, best reliability? Absolutely, because that is a strong part of the offering, 75% of revenues are coming from -- 75% of main stage bingo revenues are coming from those customers. So we want -- they're our best customers. We want them to be well looked after.
Ivor Jones: When you replace old tablets with new tablets, do they deliver an uplift in revenue because of improved functionality? Or are you only talking about people going from being paper players to electronic players?
Richard Harris: It's both. So every 1% of customers that we can transfer from paper-based to electronic tablets, that is worth -- they're worth more money to us. So they spend more money as a consequence. But also, it's the reliability, the delivery of the service, to make sure you get that proposition right for regular bingo players. And it's about, at peak times, have you got the capacity to deliver everything you need to, to make sure everybody there that wants to play electronic bingo can do so. I think we've probably got some questions online. [ Matt ].
Unknown Executive: Yes. Thank you, Richard. We've got 3 from Greg Johnson at Shore Capital. Can you provide some granularity on the slightly softer Q2 period, especially around the budget and the uplift over the festive period and into January? And are these recent trends more consistent with Q1?
Richard Harris: Yes. Good question. So performance -- so revenue growth in the first quarter was 9%. Revenue growth in the second quarter was 4%. I think 2 main factors I'd kind of call out. So we did have a tougher comparative in the digital business in the U.K. in particular, which I mentioned earlier and also the impact of consumer confidence running up to and after the budget. It was pleasing to see that over the Christmas and New Year period, when we're absolutely our best, revenue growth was really, really strong. And then that strength of growth has also continued into January. So really pleased with January performance so far. In both the Christmas and New Year period and January, performance was better than what we saw in Q2 and more in line with what we saw in the first quarter of the year. So appreciating it's early days, we're only 4 weeks into a new financial year -- sorry, a new financial half, but relatively satisfied with our performances at the moment.
Unknown Executive: Machine income growth has been much stronger in those casinos which have benefited from installation of additional machines. Given the phasing of the rollout, what was the growth in machine income during Q2, please?
Richard Harris: So first quarter gaming machine income was 12% up and it was broadly similar in the second quarter of the year. As you know, we started to launch machines from the middle of August and that rollout continued with a large proportion of the machines coming in at the end of December. So overarchingly, at 16%, we're really, really pleased with that performance. It compares with 4% for gaming machine revenue growth in those venues that didn't have the investments, that [ factor ] of 12, I think, is relatively material and relatively important to us. But from this point onwards, we have to kind of continue to build that growth. So this is about improving the product layouts, improving supplier mix, improving content, improving promotional rewards. The whole gambit is kind of being constantly reviewed in a casino-by-casino level in the context of their competitive environments. So we're supporting the best customer proposition we can in each casino.
Unknown Executive: And just a follow-on, have you seen any cannibalization following the rollout of more machines?
Richard Harris: Not obviously. Actually, no. So do you feel implicitly that there might be some money that might have been put down on the table that now goes into a gaming machine because you've got -- previously, they were all taken and you weren't able to satisfy that demand. So intuitively, it feels like there might be a little bit. You don't see it in the numbers. So there's no material crossover from gaming machines to table gaming.
Unknown Executive: That's it for online questions.
Richard Harris: Great. In which case, we'll draw the presentation to a close. Thank you very much.